Operator: Good morning, everyone, and welcome to the Gibson Energy's Fourth Quarter and Full Year 2024 Conference Call. Please be advised that, this call is being recorded. I would now like to turn the meeting over to Beth Pollock, Vice President, Capital Markets and Risk. Ms. Pollock, please go ahead.
Beth Pollock: Thank you, Liz. Good morning and thank you for joining us to discuss our fourth quarter and full year 2024 operational and financial results. Joining me on the call this morning from Gibson Energy are Curtis Philippon, President and Chief Executive Officer; and Riley Hicks, Senior Vice President and Chief Financial Officer. We also have additional senior management team members in the room to help with questions and answers as required. Listeners are reminded that today's call refers to non-GAAP measures, forward-looking information and is subject to certain assumptions and adjustments and may not be indicative of actual results. Descriptions and qualifications of such measures and information are set out in our investor presentation available on our website and our continuous disclosure documents available on SEDAR+. Now, I would like to turn the call over to Curtis.
Curtis Philippon: Thank you, Beth. Good morning, and thank you for joining us today. We'll begin with highlights of 2024, followed by Riley discussing our financial results and position. I will then provide some closing comments. This has been a milestone year in Gibson's history, as we advanced our infrastructure strategy and set up our team for the next phase of growth. Since joining at the August, I've been pleased with the progress we've made. Our strategy is simple. We focus on our great assets, we remove unnecessary distractions and implement a goal execution culture that ensures alignment and accountability. On people, we ensure, we have the right people, we are organized correctly, remove low performers and foster an ownership culture. On growth, we prioritize working closely with our customers, growing around our current assets and building the growth muscle, to ensure that we have a pipeline of projects competing for capital. Financially, we are owners and we stay committed to the governing principles that provide us a strong foundation. To deliver on our strategy, it is imperative that we have the right team in place for this next chapter. On this note, I'm happy to have Riley Hicks, our new Senior Vice President and Chief Financial Officer with me today. Riley joined Gibson in 2018 and has held critical roles across several areas of the business. Most recently, Riley oversaw corporate development, marketing and strategy. After working closely with Riley over the last six months, it is clear to me that, his financial acumen and proven leadership abilities will be instrumental in driving Gibson forward. Together, we are committed to creating shareholder value and maintaining our strong investment grade financial profile. I'm looking forward to partnering closely with Riley, and I'm confident, he'll be a difference maker for the organization. On behalf of the Board and the rest of the team, I would also like to acknowledge and thank Sean Brown for his dedication and time with the company. We wish him the best in his future endeavors. In 2024, we demonstrated the value of the Gateway acquisition to our business and to shareholders. I'm pleased to report that, we ended the year on a consolidated basis with adjusted EBITDA of $610 million, an increase over 2023 and a new high watermark for the company, driven by a full year contribution from Gateway and record adjusted EBITDA from our Infrastructure segment. As we look back on the growth of our Infrastructure segment, since the transition of our business in 2017, we have now achieved a compound annual growth rate of approximately 14%. Strong performance from Infrastructure offset a muted year for Marketing, which now accounts for approximately 10% of our adjusted EBITDA and ended the year slightly below the long-term run rate guidance. Overall strong performance from Infrastructure and the continued growth of our long-term stable cash flows, allowed us to end the year with our key financial targets within our key financial targets with leverage of 3.5x within our target range of 3x to 3.5x and a sustainable payout ratio of 71% within our target range of 70% to 80%. Based on the enhanced quality of our cash flows and strong balance sheet, we have increased our quarterly dividend by $0.02 or 5% to $0.43 per share, marking our sixth consecutive dividend increase and continued focus on delivering value to our shareholders. As we look forward to 2025, we're excited to build upon several recent milestones. In January, we celebrated the one year anniversary of taking over operations at Gateway, and the acquisition has exceeded our expectations and is a key catalyst for our company moving forward. Gateway is a unique, strategically-located asset. Its location in the Ingleside Outer Harbor makes it one of only two export terminals in Texas and three in the U.S. with the ability to directly load a very large crude carrier. Its close proximity to the Port of Aransas significantly reduces shipping time and costs for customers. And our unique fungible storage system minimizes the merge costs and inventory carry for our customers. Last year, we've reached a new record at the facility, when we exported just over 2 million barrels in a single day, which represents nearly half of all U.S. crude exports on average, a significant achievement, which demonstrates the strategic and critical nature of our terminal, and its value in the U.S. crude supply chain and the value it provides to both our customers and the entire U.S. economy. In December 2024, we successfully extended and amended a key contract at Gateway, while welcoming several new customers to our facility, all of which are major global crude exporters. We also sanctioned dredging, which will increase the depth at our facility and reduce customer shipping time and cost, resulting in higher throughput and increased revenue at Gateway. With the benefit of dredging, which is underway and expected to be complete by the end of Q2, and the previously announced Cactus II connection project, which is also underway and expected to be placed in service in Q3, and along with the impacts of re-contracting some key customers, we are on track to achieve our key Gateway acquisition objectives earlier than anticipated, including growing Gateway EBITDA by over 15% to 20% on a run rate basis by year end 2025. In Canada, we placed two new tanks at our Edmonton terminal in service at the end of the year, under a 15 year take-or-pay agreement with Cenovus, providing an incremental 870,000 barrels of storage capacity and increasing throughput at the facility, as we enter 2025. Overall, we expect to deploy up to $200 million between growth and capital growth capital projects and share repurchases in 2025, $100 million of which to be predominantly deployed at Gateway. We're also executing on our cost focus campaign, which is targeting over $25 million of cost savings by year end. To-date, we have already implemented initiatives that will allow us to achieve approximately 50% of this goal on a run rate basis, by year end, with numerous other additional initiatives still being advanced. We are confident that, we will achieve this goal by the end of the year. Turning to sustainability. We're proud to report that we recently received our fifth consecutive CDP score of A-, reinforcing our leadership and continued commitment to sustainability. All the while, safety remains foundational to everything we do and we are committed to Mission Zero. Our goal is zero harm to people. Thanks to this focus and the commitment of our team to work together to keep each other safe, we achieved a new milestone of 8.8 million hours without a lost time of injury for our employee and contract workforce at the end of 2024. I'll now pass the call over to Riley, who will walk through our financial results in more detail.
Riley Hicks: Thank you, Curtis, and good morning, everyone. I would like to start by saying that, it is great to meet you. As Curtis mentioned, I joined the company in 2018 and have had the privilege of taking on a number of roles in both the finance and commercial organizations, most recently as Senior Vice President of Corporate Development, Marketing, and Strategy. While in his early days in this new role, my focus will be on continuing to grow the business in a disciplined manner, while remaining committed to our conservative financial management and key financial governing principles. I'm excited to take on the challenge of this new role and look forward to meeting and getting to know each of you more over the next few months. As Curtis noted, 2024 was a year of milestones for our company. Focusing on our financial results, on a consolidated basis, we delivered another solid quarter with adjusted EBITDA of $130 million, driven by strong infrastructure performance and offset slightly by muted performance within our marketing segment. Infrastructure adjusted EBITDA of $147 million in the fourth quarter was impacted by several non-recurring charges related to ongoing commercial matters. Concurrent with year-end, management reviewed outstanding items and accrued for the financial impact. Although, we will note, there remains a potential to recover some of these costs through commercial resolutions in future periods. When normalized for these items, Infrastructure EBITDA would have been approximately $153 million, slightly ahead of our third quarter results due to contribution from the two new tanks placed in service at Edmonton, but is partially offset by lower volumes at the Hardisty Terminal. Adjusted EBITDA for the Marketing segment saw a loss of approximately $5 million, which was below the quarterly guidance provided on our Q3 call and represents a $19 million decrease relative to the third quarter. This was a result of reduced opportunities for both our Crude Marketing and Refined Products businesses. With respect to crude marketing, increased demand for Canadian heavy oil driven by ample egress out of the basin contributed to narrow differentials and limited volatility during the quarter. Additionally, the overall market structure for crude remains in steep backwardation. These factors combined to result in fewer quality, location and time-based opportunities that had previously been forecasted. On the Refined Product side, the business continues to be impacted by tight differentials, higher feedstock costs and compressed margins due to tight crack spreads. In terms of our outlook for the first quarter, absent a change in market conditions, we would anticipate another challenging quarter, as steep backwardation continues to persist in the forward curve and opportunities remain limited for both Crude Marketing and Refined Products. Given this outlook, we would anticipate adjusted EBITDA for the first quarter to be around breakeven. That being said, Marketing now represents a smaller proportion of our business, at approximately 10% on a trailing 12 month basis, which minimizes the impact of muted segment performance on our overall results. And we continue to be well-positioned from a balance sheet perspective, given our commitment to our key financial governing principles. Further, we anticipate that headwinds facing the marketing group will be temporary in nature and will begin to reverse as pipeline egress starts to tighten in the back half of this year and into 2026. In the meantime, market conditions are ever changing, and our team is well-positioned to take advantage of any opportunities that arise, but we will not in any way change our risk tolerance to chase market upside. With respect to our full year 2025 Marketing guidance, we will look to reevaluate and provide an update on the first quarter conference call. As previously noted, we believe, current market conditions will be temporary and we remain confident in our long-term normalized outlook. Turning to distributable cash flow. Gibson generated approximately $71 million in the fourth quarter, which was a $17 million decrease relative to the third quarter. Consistent with our previous commentary, this delta was driven largely by lower marketing results and partially offset by lower taxes and lease costs. As the fourth quarter concluded the 2024 fiscal year, I would also like to compare year-over-year results. On an annual basis, the Infrastructure segment set another record generating adjusted EBITDA of $601 million representing an increase of $107 million over 2023, a result of record-setting volumes achieved at Gateway and Edmonton and partially offset by decreased volumes at Hardisty. Year-over-year, Infrastructure volumes increased approximately 25% or 142 million barrels. In the calculation of our adjusted EBITDA, the company has excluded certain one-time non-recurring items that impacted our 2024 results. At the same time, marketing adjusted EBITDA decreased from $145 million in 2023 to $63 million in 2024, an $82 million decrease due to the reasons previously discussed. As such, on a consolidated basis, 2024 adjusted EBITDA increased by $20 million to $610 million, a 3% increase over the prior year and a new high watermark for Gibson. These results contributed to distributable cash flow of $375 million in 2024, a decrease of approximately 11 million related to 2023, primarily as a result of muted Marketing performance. As Gibson has done to date, we will continue to adhere to our financial governing principles, which include maintaining a strong balance sheet, remaining fully-funded for all growth capital, and ensuring our dividends are fully covered by stable long-term take-or-pay cash flows driven by our Infrastructure segment. At year end, our debt to adjusted EBITDA was 3.5x compared to 3.7x exiting 2023 and within our target range. On an Infrastructure adjusted basis, our leverage of 3.6x is also below our target of 4x. Exiting the year, our payout ratio is both a percentage of distributable cash flow and on an infrastructure-only basis was 71% at the bottom end of our 70% to 80% target range, and well below our Infrastructure only target of less than 100%, highlighting the sustainable nature of our dividend. We have ample headroom with respect to all metrics, providing a significant financial flexibility, and notwithstanding any continued softness in our Marketing business, this financial flexibility supports the 5% dividend increase we announced yesterday. In terms of capital allocation, we continue to remain disciplined and focused on maximizing shareholder value. In December, we announced our 2025 guidance of up to $200 million in growth capital and share buybacks. With continued growth in our free cash flow from our Infrastructure segment throughout the year, the quality of our cash flows has improved, while we've maintained the strength of our balance sheet and our financial flexibility. Infrastructure results in 2024 marked new highs for the company, due both to a successful first full year with Gateway in our portfolio and continued strong and stable performance from our legacy infrastructure assets. We have great momentum entering 2025 with exciting growth projects underway and expected to be completed in Q2 and Q3 at Gateway. These projects will allow us to achieve our previously communicated EBITDA run rate growth target for this asset of 15% to 20% by the end of the year. We continue to maintain our strong and conservative financial profile and disciplined approach to capital allocation, which provides us with significant flexibility, including low leverage on both the total and infrastructure-adjusted basis, increasing quality of cash flows as a result of relative growth in our Infrastructure business and significant liquidity with a staggered debt maturity profile. We remain confident that, our asset mix and strong balance sheet continue to offer an attractive total return proposition to our investors and supports the sustainability and continued growth of our dividend. We are pleased with both our fourth quarter and full year results in 2024, as well as the strength of our balance sheet and our continued financial flexibility. I will now turn it back to Curtis for his closing remarks.
Curtis Philippon: Thank you, Riley. In closing, the business delivered another solid quarter, which marked the end of a strong 2024. Despite a complex and evolving energy market, we remain focused on financial discipline and operational excellence, demonstrated by our adjusted EBITDA and Infrastructure EBITDA reaching record highs in 2024. We also see a number of tailwinds for Gibson, as we complete our growth projects and are well-positioned to benefit from a favorable macro environment for Infrastructure. Globally, we are seeing strong demand for energy, a growing focus on energy security and increased recognition of higher quality assets. Lastly, I would like to express my appreciation to the Gibson team for the organizational progress that is being made and for safely delivering a strong year in 2024. I'm excited to see what we'll achieve in 2025. And I will now turn the call over to the operator to open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: Hi, good morning. Just wanted to dive in a bit more on the Marketing, kind of a big gap versus what we were looking for previously. As far as the conditions that led to this, the 2024 Marketing, below the 80 to 100 range, Could you provide a bit more detail on the components? What were some of the bigger drivers to the delta for the quarter? And really just more, do you see that persisting in 2025? Is there any reason to believe that $60 million or so of marketing EBITDA would be higher in 2025 than what we saw in 2024?
Riley Hicks: Yes. Sure, Jeremy. It's Riley here. Thanks for the question. In terms of the fourth quarter, the negative quarters, it's really a result of all kind of key factors within the market working against us. Within our Refined Products business, we continue to face headwinds, including increased feedstock costs and tight crack spreads. In addition, that business is impacted by seasonality. Typically, we see softer demand for paving asphalt in the winter months, given the Canadian winters, and we would build as much inventory as possible through the winter as we can. This was exasperated this year, as we have an upcoming turnaround in Q2. So we built even more inventory over the months than typical. So as such this business was impacted by both tighter margins, but also, we didn't recognize some of the profit associated with the products that we were storing over the months. In the past, we've seen some of this on the Refined Product side and typically we've been able to offset these headwinds on Refined Products with our Crude Marketing group. Unfortunately, in Q4 here, the opportunities didn't really materialize for us in the fourth quarter as ample egress out of the basin combined with record low inventory levels resulted in steep backwardation and very little volatility within the market. As such, we typically would stay within our risk profile and our current risk tolerances. We opted to remain on the sidelines, rather than chasing marketing upside. In terms of 2025, we would see Q1 facing some of the similar issues, not quite as significantly backwardated in 2025 at this point. And moving forward, we're going to reevaluate our guidance for the full year and provide an update on the Q1 call.
Jeremy Tonet: Okay, understood. So we'll wait for that then. And then just for the Infrastructure with the 15% to 20% higher as you said by 4Q '25, could you just remind us I guess what base you're working off there or maybe what in absolute terms what that number would look like for kind of a regular EBITDA run rate for Gateway?
Riley Hicks: Yes, sure. Thanks, Jeremy. It's Riley again. So I think when we did the Gateway acquisition, we would have announced it at around nine times multiple. That would imply kind of $40 million of EBITDA at Gateway per quarter when we acquired it. So I would calculate the 15% to 20% growth off that number.
Jeremy Tonet: Sorry, what was that number again?
Riley Hicks: $40 million Canadian per quarter.
Jeremy Tonet: Got it. Okay. I think that does it for me. Thank you.
Operator: Our next question comes from Aaron MacNeil with TD Cowen.
Aaron MacNeil: Good morning all. Thanks for taking my questions. Maybe I'll just kick off with a clarification question. You did address it in the prepared remarks. But leverage exited the year at the high end of the range. You've got the dredging project underway. You've indicated that marketing could be challenging in Q1. How should we think sort of the competing objectives of remaining in that leverage range, and sort of executing on capital allocation priorities beyond sort of the dredging project, specifically as it relates to incremental growth capital or the buyback?
Curtis Philippon: We're still comfortable, Aaron. And as we look at the year, we were expecting coming into the year that the front half of the year was going to have a heavier spend, related to the growth capital projects with the timing of the dredging work as well as the timing of the Cactus connection. And we also were expecting that coming into the year, the early part of the year was likely going to be a little quieter from a marketing standpoint. So when we look at the full year, we're still comfortable with how all this goes around. And in the front half of the year, we weren't planning a lot of share buybacks to begin with. That was always intended to be heavily focused on growth capital in the front half of the year.
Aaron MacNeil: Got you. Makes sense. Switching gears, just on TMX, in the event that it gets expanded, can you kind of paint a picture for us in terms of what the potential upside might look like there?
Curtis Philippon: Yes. The immediate impact for us is more throughput through the Edmonton facility. And so, we're already seeing that today with TMX current expansion. And as I think about expanding it further, we obviously just added two tanks, at end of December. And as part of that project, we did the groundwork to get ready for adding two additional tanks. And I would have said coming into the year that, we really didn't have that in the plan for 2025. We thought that was a little bit further out. It's been interesting, as we've seen a lot of talk about in sort of accelerating the TMX expansion and again in fully utilizing the TMX capacity that we're seeing increasing discussions over potentially accelerating some of that Edmonton expansion.
Operator: Our next question comes from Robert Hope with Scotiabank.
Robert Hope: Curtis, you've been in the seat for almost six months now. You did highlight a number of changes in the organization, but what do you think has been the most impactful change or changes so far? And kind of what is left for you to do with the organization in terms of restructuring and changes?
Curtis Philippon: Yes. Thanks, Rob. The biggest thing that, we spent the most amount of time on over the first six months is really on the people side of things. But coming in with a fresh set of eyes in the organization, we've really looked hard at who do we have in the organization, what is the structure, how focused are we on the business and had a real push to say, let's make sure that we've got the right people in the seats, let's remove low performers, let's also look hard at how we're structured and are we as efficient as possible? You see a fairly significant restructuring amount in the quarter and that's related to that. We've made a number of people changes, as we've addressed what is the most efficient focus on the business structure, let's remove things that aren't value-added and let's remove low performers. That's the most impactful work. Really, that's been a lot of focus for the team, and I'm quite confident that's going to pay a lot of dividends over the next couple of years.
Robert Hope: I appreciate that. And then, maybe just going over to the South Texas, with the dredging project being announced as well as, some other contract wins there, what does the commercial tension look there for kind of further commercial initiatives and further contract extensions?
Curtis Philippon: Yes. So we've been pleased with how that's gone. Good activity in the terminal, good re-contracting last year. At the end of last year, we also announced a couple of new customers coming into the terminals are great, sort of super major oil exporters that are added to the terminal, that are -- we're excited about what they'll grow into in time. I'd also take one more macro step back and look at everything that's going on in the world right now around tariffs and sort of geopolitical right now. And I think you're seeing a significant shift with the new administration, where there's a lot of push. There's sort of one sort of drill baby drill. You're seeing a lot of sort of pro-energy sentiment within the U.S. but you're also seeing a significant push to look at trade balances around the world and to increase the influence of the U.S. and global energy markets. And so, I expect you will see increases in crude exports coming out of the U.S. and I think we are exceptionally well-positioned to be a beneficiary of that. You already see it just recently in the last couple of weeks with India making comments about increasing energy imports from the U.S. one of the prime ways you're going to do that is through crude exports out of Corpus Christi. And yes, we're pretty excited about that. So you combine that with the good work the team is doing right now to increase the capacity with the dredging and the Cactus connection. All of a sudden, we're really well situated to be able to increase the throughput out of that facility. At the same time, we're expecting you're going to see some increasing demand.
Operator: Our next question comes from Maurice Choy with RBC Capital Markets.
Maurice Choy: Thanks and good morning everyone. I just want to come back to the Marketing business. You mentioned quite a number of market conditions that you said worked against you in Q4. But was there any decisions that your team took including on accounting or accrual or revenue recognition side of things this quarter that was different from the past? And, if I could just have a quick follow-up on that, what is the total fixed cost of this business?
Riley Hicks: Yes. Thanks, Morris. It's Riley here. There was no one time accruals or anything like that that we took in the quarter. It was really just a function of challenging market conditions. I'd also say there was no kind of one-time trades that caused us to go negative. In terms of the fixed costs of the assets to run, obviously the refineries and asset that has to be run, we have employees to pay and fees to cover, including storage points across the U.S. to get to markets. In terms of a dollar number, we don't typically talk about that or release that. So we'll keep that to ourselves for now. But, there is some fixed costs we have to cover and the conditions in this quarter, we were unable to do so.
Curtis Philippon: You've got to add that, we're pretty confident on as we look at the cost structure going forward that, the marketing business is going to will contribute positively in the year. And we look hard at our cost structure and how we're set up for the current market conditions. But I would also caution that, this is a business that is a very attractive feature of the Gibson overall business. And if you look at over the last six years, on average, it's contributed $110 million of EBITDA per year. And there will be some volatility in that, but we will also be very cautious not to overreact to sort of a couple of quiet quarters to sort of want to make sure we preserve that earnings capability of that business.
Maurice Choy: So I guess when you say all that and recognizing that you are probably looking for a refresh in the Q1 call, should we walk away thinking that, you structurally believe that this business has changed or is this more of you and your executive team trying to ensure that we manage our street expectations a little bit more reasonably?
Curtis Philippon: I'd say, it's more of a managing expectations. The reality is, when we look near-term, good egress out of the Western Canadian Basin is, it reduces some of the marketing opportunity in the near-term for us. But if you step back from that, boy, what a great outcome for our customers. And so, I think this increasing ingress out of the Western Canadian Basin suddenly has been very healthy for our customers. You see all of our customers on the oil side having good strong years, looking hard at expanding their production. All of those things together will ultimately make for a stronger Canadian business, but it will also eventually lead you back to running into some more tightening of egress, which will sort of bring marketing back into play in a bigger way. And so, I don't view this as a structural change. I view this as a temporary factor that nicely benefits our customers, in particular on the infrastructure side of things that we'll go through for a bit here. And I also think as we grow the Gibson footprint over Canada to U.S. We suddenly are no longer just the Western Canadian marketing business. There's suddenly we have an ability to have a marketing footprint in the U.S. as well with our great asset base there. And so, I think if anything, I'm excited structurally about having just sort of this full sort of Western Canada right to the coast sort of view of the business and view of marketing opportunities and infrastructure opportunities.
Maurice Choy: Thanks. And just finishing up on a follow-up on a past question about the changes in the company. I guess, more pointedly, Curtis, do you believe that, you have the right team and organization in place right now to execute on your strategy? And if not, what segments do you think requires incremental focus?
Curtis Philippon: Yes, we're getting there, Maurice. It's obviously, you're never completely done, but we've got a very strong team, a very experienced team. We've made a number of changes in the group. We've also done a lot of things in the background just on how we operate from a focus on goals and alignment of the entire organization and driving some accountability and focus around sort of key goals in the organization. I think that's going to set us up really well. For me, from a sort of getting the team fully in place, we're in the final stages of adding a Chief Operating Officer that we'll expect to have an update for here, shortly on that. That's really the key outstanding individual that we'll be announcing shortly.
Operator: Our next question comes from Anthony Linton with Jefferies.
Anthony Linton: Good morning guys and thanks a lot for taking my questions. Sorry, I just sort of revisit some of the questions that have already been asked this morning and maybe just bringing it all together. When you think about that long-term outlook for marketing of that $80 million to $120 million and just some of the potential for the various pipeline expansions that have been out there, how does that sort of funnel through into how you think about that over the next couple of years? And then, it sounds like the offset there is there'll be some incremental tankage. When do you expect to have greater visibility around that?
Riley Hicks: Yes. Thanks, Anthony. Riley here. I think with the expansions on the pipes out of the basin, I think it's early days and remains to be seen kind of what projects are going to get done, which grades they're going to move out of the basin. And we would view that from a Gibson perspective positively. I think egress out of the basin results in extra production and more growth deployed by our customers upstream, which creates opportunities for our Infrastructure business. From a Marketing standpoint, we continue to view this kind of market headwinds as temporal. Even with egress out of the basin, we've seen kind of significant backwardation that we haven't seen in the past. We are starting to see a portion of it come back to the market a little bit. So we have some positivity around where the back half of the year and into next year go.
Anthony Linton: Got it. All right. That's helpful. And then maybe just a couple of clean-up questions. Just on the outlook for growth capital in 2025, it sounds like just reading through your prepared remarks, no changes to the plan, the allocation towards the buyback this year?
Curtis Philippon: No changes. I think the one interesting thing from a capital allocation standpoint that's maybe advanced over the last few months is, I've been very pleasantly surprised by the number of growth opportunities right around our current assets. And so, we've been very deliberate on messaging that we see lots of very good opportunities directly around our Western Canadian and our Gateway asset in particular. And so lots of interesting work to do around that. That is pulling forward more interesting growth projects over and above the dredging and Cactus connection that I expect it will be likely closer to the $150 million of growth capital than the $100 million that we talked about at the tail end of last year. And so, that's a positive thing. We still have some work to do to go through that and there's some timing of when that will actually be deployed. But it's been encouraging to see, how much interesting projects we've got working with our current customers around our current facilities.
Anthony Linton: Got it. Okay. That's helpful. And then just the last one for me. The $25 million in cost savings that you've talked about previously, you picked up $5 million from that in 2024 from the interest refinancing. Can you just maybe talk about some of the other levers you have available as you look to achieve that?
Curtis Philippon: It's really been a push inside the company to really focus on cost. And I think this is -- I think every organization has gone through this that you've gone through an inflationary period, and there's a tendency in every company to sort of accept that as the new norm. And what we've taken opportunity here is to say, okay, let's pause on that. Let's look hard at what is real cost increases and where are there opportunities for us to rethink about how we're doing things. And we've actually had a significant push right through the entire organization to rally around this and look for opportunities to implement cost savings that save money and sort of no dollar is too small. And so, we've really rallied the entire company around this and encouraging the very high level of participation to the company. So everything from cutting the watering of plants in that office to making fairly significant operational improvements in the field, but it's really driven around we want everybody focused on this, and we believe there's significant cost savings. And so, in the script of the start, we talked about the fact that, we're already implemented over half of that $25 million and not all of those are sort of clicking in quite yet from an impact, but by the end of this year, already half of those savings will be realized. And so, boy, we're sort of midway through February and already tracking over half. And so, I feel pretty good that we're going to exceed the $25 million by the end of the year.
Operator: Our next question comes from Benjamin Pham with BMO.
Benjamin Pham: Thanks. Let me start off on Gateway. Like once you execute on this 15% to 20% EBITDA growth end of 2025, how do you think about organic growth of that terminal beyond that period of time?
Curtis Philippon: Sure. I think for me there's two main things I think about sort of next near-stage after that. One is additional tankage. And so, we have room for additional tankage at Gateway. A number of our current customers are pushing us to look at bringing in more Eagle Ford barrels into the facility. And with Eagle Ford barrels, you do require additional segregated tankage and we're happy to do that for customers under contract. And so, that's an interesting one where you see a fairly rapid sort of deployment of capital to address that tankage situation. I think, the second one is a non-capital one that midway through last year, sort of late last year, we received approval from the port to do night moves of vessels. And the night moves of vessels is a bit of a game changer from an efficiency and throughput of the facility. And so, I think that's still something that we're early on truly understanding, what is the impact we can do and just how many additional vessels that we can turn through that facility. But we're already seeing the impact of that, that you're suddenly able to have some sort of single day turnarounds of [Afra] vessels, whereas previously we would have always looked at sort of a two day loading window per vessel. We're seeing some opportunity to potentially contract additional slots in the facility without any additional capital.
Benjamin Pham: Are you logistically maxed out at 1 million barrels, just given the land position and --
Riley Hicks: No. Ben, we're not right now we're obligated with kind of the regulatory at 1 million barrels, but that's something that can easily be changed and certainly we can do more than 1 million barrels.
Benjamin Pham: Okay, got it. I think you mentioned or you did mentioned the $40 million EBITDA. Can you realign us the hedging program that's feeding that? I think you put on some hedges when you announced the acquisition. Just how long that duration is and your overall assumptions?
Riley Hicks: Yes. Thanks, Ben. We obviously have a hedging program in place to de-risk our asset and our cash flows. For 2025, we're about 80% hedged at that facility, in and around 1.37, call it. For 2026, we'll start to explore putting on further hedges. We're going to pick our spot here, depending on what happens with tariff and FX rates.
Benjamin Pham: Okay, got it. And maybe a clean-up question I make on Marketing. Are you able to share roughly the percent in the quarter between the cracks and the trading side of things? And I'm assuming on the trading side of things, if you're not doing any trades, there's fixed commitments that push it to a loss position. Do those fixed commitments start to roll off more in 2025?
Riley Hicks: Yes. When we think about our trading business in Q4, it would have been slightly above breakeven and really the loss would have been related to our Refined Products business. So we continue to think that, we're well set up from an Infrastructure standpoint to take advantage of market conditions as we change and we're ready to kind of tackle some of those opportunities as they come up.
Benjamin Pham: Okay. Just to clarify, just so your fixed commitment, it's typically quite ratable event from 2024 to 2025?
Riley Hicks: Yes, fairly ratable over the years for sure.
Operator: Our next question comes from Robert Catellier with CIBC Capital Markets.
Robert Catellier: Good morning. I just wanted to confirm that, given that you don't expect long-term change to the guidance at this point for Marketing, I just wonder what level of crack spread and differential do you need to see to get back to the 80 to 120 if we assume an environment with normal volatility and no -- turnaround?
Riley Hicks: Yes. I think, Rob, we work on maybe having some more transparency around those numbers moving forward with an Investor Day, but I don't think we're going to release those type of numbers on a quarterly call.
Robert Catellier: All right. In terms of the Infrastructure business, what was the nature of the non-recurring charges for commercial matters that you took there? Is there anything unusual there in terms of provisioning or is this just took a big bath in the quarter?
Curtis Philippon: Rob, the one-time items is really driven by my new eyes coming into the organization, and got a real push to say let's work through some things with some urgency. So we talked about already from a people standpoint that we worked through a number of people things, and so you saw a significant people restructuring charge. On the commercial matters side of things, there's no sort of one overly material item. But, in aggregate, what we have here is that we had just a lot of backlog of various commercial matters with customers that have been built up over a couple of years. And you look at that and the thing about those types of situations is, they don't tend to get better with time. There's not a lot of upside of not properly recognizing the cost of that and moving with some urgency to get those resolved with your partners and your customers. And so, that's what we've had a real push on that. You hear me talk a lot about where our goal is to remove distractions. And so, I think some of these things become a bit of a distraction and let's go resolve them. Let's take those issues away and sort of get back to working well with our customers. And so, that's what you see. It's a bit of -- these have been hanging out there for a couple of years in some cases on some of them and we've got a real push to clean that up and move forward.
Robert Catellier: Yes. That's very helpful context. And then, just one quick clean-up on Gateway. I think the progress on the project shows it's on schedule. But from what I saw the documents were silent on the budget. Is it on budget?
Curtis Philippon: It is, yes.
Operator: [Operator Instructions] Our next question comes from Patrick Kenny with National Bank Financial.
Patrick Kenny: Thank you. Good morning. Just on the environmental remediation charge taken in the quarter at the Edmonton terminal. I know, it's a one-time provision as well, but just wanted to confirm, Curtis, if your team has fully completed the review of all potential environmental liabilities, not only at the Edmonton terminal, but also Hardisty, Moose Jaw, Gateway and others?
Curtis Philippon: Yes. So this may I talk first on the Edmonton Terminal I. This is a pretty unique one and this is related to a material that we were handling really 30 years ago. There's a soil contamination issue that has been monitored and was flagged as an issue over the last year. And over the last year, we worked very closely with the regulator to come up with a remediation plan. And just the nature of the remediation will be fairly time consuming. And so, it's a fairly significant charge, but because we developed a very detailed plan on how to remediate and now we're actioning that, we thought it was important to fully recognize that impact. That charge is related to the cost over the next 10 years. And so, just from a sort of a cash flow perspective, I think it's important to recognize that sort of the remediation and monitoring costs related to that over the next decade. We've also, as we talked about, sort of looking hard at, what if we do understand all of our exposures around the business, we spend a lot of time looking at what else is out there, and I'm quite comfortable with where we're at from an environmental exposure. The team has done a great job, take a lot of pride in being great stewards of the environment. We've got an outstanding team that works through these things. There's absolutely nothing of sort of the scale of this and sort of uniqueness of the Edmonton One out there. There's always going to be little things that you're working at, 70 years in this business. There's always going to be some things that we're working at that's sort of a constant thing, but nothing of this magnitude.
Patrick Kenny: Okay, that's great. Thanks for that. And then, maybe just back to where the balance sheet is currently. I know in the past, dispositions were required to bring the ratios back on side and just want to get your thoughts around potentially looking at some smaller asset sales, to provide a little bit of cushion going forward on the financial position and what assets in the portfolio you might consider to be non-core?
Riley Hicks: Yes. Thanks, Pat. Really at this point, we've divested. We spent a bunch of time this year to Curtis' point kind of cleaning up our business and divesting our non-core assets. So we sold $30 million worth of non-core assets throughout 2024, and that would have really cleaned up our portfolio of kind of non-critical assets. Everything that would remain, we would consider to be core to our business, and tied in synergistically with our main assets at Edmonton, Hardisty or Gateway. At this point, we're not looking to dispose anymore.
Operator: There are no further questions. I'd now like to hand the call back to Beth.
Beth Pollock: Thank you, Liz. Thank you for joining us for our 2024 fourth quarter and full year conference call. Again, I would like to note that we have also made available certain supplementary information on our website, gibsonenergy.com. If you have any further questions, please reach out to myself or investor.relations@gibsonenergy.com. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.